Operator: Good afternoon. My name is Alexander and I will be your conference operator today. At this time, I would like to welcome everyone to the Coupang Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Now, I would like to turn the call over to Michael Senno, Vice President of Investor Relations. You may begin your conference.
Michael Senno: Thanks, operator. Welcome to Coupang Inc.’s quarterly earnings conference call for the first quarter ended March 31, 2021. I am pleased to be joined on the call today by our Founder and CEO, Bom Kim and our CFO, Gaurav Anand. The following discussion including responses to your questions reflects management’s views as of today’s date only. We do not undertake any obligation to update or revise this information except as required by law. Certain statements made on today’s call are forward-looking statements. You should not place undue reliance on forward-looking statements. Actual results may differ materially from these forward-looking statements. Please refer to today’s earnings release as well as the risks and uncertainties described in our prospectus filed with the SEC on March 11, 2021 and other filings made with the SEC when available for information about factors which could cause our actual results to differ materially these forward-looking statements. During today’s call, we will present both GAAP and non-GAAP financial measures. Additional disclosures regarding these non-GAAP measures, including reconciliations of non-GAAP measures to the most comparable GAAP measures are included in our earnings release and our filings with the SEC. Each of which is posted on the company’s Investor Relations website at ir.aboutcoupang.com. I remind you that these numbers are unaudited and maybe subject to change. And with that, let me turn the call over to Bom.
Bom Kim: Thanks, Michael. Since this is our first earnings call, before we talk to the results, I’d like to take a moment here to speak about why we are so excited about the decades-long opportunity ahead of us at Coupang. To understand Coupang, we begin with our mission to create a world where customers wonder how good I ever lived without Coupang. Our orientation is our most important advantage. We work backwards from the customer from a vision of a world, where our customers have it all, jaw-dropping convenience without a convenience tax. Historically, online shopping has forced customers to choose between amazing service, low prices and broad selection. Delivery within hours isn’t amazing if your selection shrinks to that of a convenience store or if it forces you to pay higher fees or prices. We aim to break these trade-offs. It’s only when we deliver all three in harmony, amazing service, low prices and broad selection that we deliver a true wow experience for our customers and sustained long-term growth for the company. So, we built an end-to-end integrated e-commerce system that we believe is setting a new standard for commerce globally. And we ingrained into our culture, a willingness to be brave, to take risks, to make bold choices and to learn from our failures. These values are at the core of our DNA and drive our continuous innovation today. Here is an example. A few years ago, while almost all Rocket orders were one day delivery, we learned that many customers were returning home late at night and were only able to use what they had ordered the following day, which meant that our one day delivery was in effect a two-day experience. So, we launched Dawn and Sunday Delivery with access to not just convenience store selection, but millions of items from computers to baby food. Customers can order seconds before midnight, head off to sleep and wake up to find their items waiting at their doorstep before 7 a.m. via Dawn Delivery for free. It’s like Christmas morning everyday. And how convenient was our service as customers could get every brand of cereal on Rocket, but still have to drive out to a store for milk. So, we launched a nationwide online grocery service, offering customers one of the largest selection of fresh goods delivered within hours at low prices. As a result, we have quickly become the leading nationwide online grocer. And why couldn’t returns be as effortless as placing an order online. For returns on Rocket, you simply open the app, tap a few times and leave the item out in front of your door for pickup. No packaging, printing of a label or cumbersome scheduling with a carrier required and the moment our driver scans the item in front of your door at pickup, we initiate the refund and returns within 30 days on Rocket while are completely free. We tackled another convenience tax at e-commerce packaging waste. Packagings required to protect the items during shipment, but because we control the entire process end-to-end, we found a way to protect items without boxes. Today, more than 75% of the deliveries we process and ship are box-less in a simple sleeve with no additional cardboard, air cushions or bubble wrap. And we didn’t stop there. We asked, can we get rid of all disposable packaging? We introduced eco-bags for Rocket Fresh, which replaces nearly all disposable packaging with completely reusable bags that are picked up by our delivery network for reuse. Today, our trucks that once left full and returned empty are coming back with returns from customers and eco-bags for reuse. We estimate that in Q1 alone, we saved over 8,000 tons or over 15 million pounds of packaging waste due to innovations like box-less delivery and eco-bags. Breaking trade-offs is hard work. That’s why few have done it. But it’s our life’s work and we are passionate about it. We have invested the last 7 years and billions of dollars into countless internal systems, algorithms and 25 million square feet of e-commerce infrastructure. Today, 70% of the Korean population lives within 7 miles of one of our centers. We also manage the largest fleet of full-time drivers in Korea directly employing 15,000 delivery drivers who utilize our proprietary software and custom designed trucks. And proprietary technology is critical to our ability to provide a wide selection, delivery experience and free shipping. Our dynamic orchestration technology, for example, predicts and assigns the fastest and most efficient path for every order out of hundreds of millions of combinations of inventory processing truck and route options within seconds of an order being placed. We are a technology company at our core and the homegrown technology that underpins our value proposition is designed to optimize our one-of-a-kind end-to-end integration. As a result of our unmatched e-commerce investment in the market and years of scaling iteration, we remain the only major e-commerce company in Korea that delivers 365 days per year, guaranteeing 1 day delivery or faster on millions of items and keeping our promise on nearly 100% of our Rocket orders even on peak days before Lunar New Year or Korean Thanksgiving. And it’s not just delivery speed our unique investments and growing scale create operational efficiencies, which we can pass on to our customers in the form of lower prices. According to a recent third-party study, Coupang’s prices were cheaper on average across all surveyed product categories and we estimate that Rocket will have customers saved over $200 million in shipping fees in the first quarter alone. The most exciting part is that we are still early in the journey. All of the things that we built are getting better every year and we plan to build more square footage of infrastructure over the next year than in any year since our inception. Our plan is to increase our nationwide footprint by over 50% in the coming year. We have a differentiation that will keep growing over time. The size, growth and structure of the market is another tailwind. Korea is a massive e-commerce opportunity. It’s the fifth largest globally and grew at a 20% CAGR over the last 5 years, second only to China. And it’s the largest e-commerce opportunity not won by Amazon or Alibaba, but there is a broader play here. Similar to China, Korea is leapfrogging the offline retail revolution. The U.S. has more than 10 times the offline retail footprint per capita of Korea. We believe we are at the center of two revolutions, not just the transition from offline to online, but also a retail revolution that happened first offline in the U.S., but is now starting online in Korea. The market also boasts a highly connected tech-savvy consumer base with high mobile usage. We believe these structural characteristics create strong tailwinds for e-commerce that will lead to higher online penetration than other markets. That makes this a broader commerce opportunity. Korea’s total commerce market is expected to exceed $530 billion by 2024 and we were still less than 5% of the total market last year. And Coupang has been rapidly gaining traction growing at a multiple of the overall e-commerce segment over the last few years, even as our scale increased. That trend continued in Q1 with year-over-year revenue growth approximately 3x faster than the overall Korean e-commerce segment. Our cohort behavior confirms that trend. As we showed in our S-1 filing, our annual cohorts are accelerating in size and spend each year, further evidence of the engagement and loyalty that our customer experience creates. And even our oldest cohorts are still increasing their spend indicating that we are still at the early stages of our growth cycle. All the benefits we offer customers are amplified by a Rocket WOW membership, fueled by access to services like dawn and same day delivery, as well as our streaming video offering Coupang play, Rocket WOW members purchase with significantly higher frequency and across more categories than non-WOW members. Fundamentally, Coupang is not a consumer goods company or delivery company or even an e-commerce company. Coupang is added essence, a company that challenges trade-offs and delivers wow in customer’s daily lives. We started with product e-commerce, but has since launched two new services in Fresh and Eats. I’d like to spend a moment on the early success. In Rocket Fresh, we offer one of the largest selection of groceries online, with the only nationwide dawn and same day delivery service. We also offer according to a recent third-party study the lowest Fresh prices among competitive services. As a result of our value proposition, Fresh revenue in Q1 was more than 2.5x of revenue in the same period last year. Coupang Eats started small and focused on the Gangnam region in Seoul until the middle of 2020. A little less than a year later, Eats launched in Jeju Island and is now national. In Q1, Coupang Eats was the most downloaded mobile app in Korea and the service has scaled faster than any in our history. Despite rapid growth in 2020, our penetration in both categories remained low. And while Fresh and Eats were the first new services we have launched since product commerce, they won’t be the last. We are confident about the runway ahead. And we will continue to invest aggressively in these and more offerings in the future. Finally, we are excited to be reporting our first quarter results, because we think they validate the investments we have made and speak to the continued execution along our strategy. In Q1, we delivered total revenue growth of 74% year-over-year and our quarterly active customers increased 21% to $16 million. Keep in mind that our strong first quarter growth comes against two headwinds. First, a comp against a strong quarter last year that experienced large order spikes due to the COVID-19 outbreak, which started in Korea in late January and second, a challenging operating environment that persists due to the pandemic. To that second point, we had 20 complete closures of operational centers due to COVID at various times in Q1, an average of nearly two closures per week. In spite of those and countless other challenges, we upheld our high on-time delivery rates. It’s a testament not only to the capabilities that we have built in our end-to-end integrated network and technology, but also to the dedication of our teams. The lost operational bandwidth and opportunity costs were real, but our team’s commitment and hard work helped make our workplace safer, while keeping our promise to our customers. I couldn’t be prouder of our teams. In conclusion, we are excited to be on this journey with our shareholders. And we are just getting started. While our business will continue to evolve, we won’t change how we operate. We will always work backwards from an ambitious goal for the customer. We won’t hesitate to make difficult decisions and bold investments for the long-term. We will keep attacking trade-offs between service, selection and price to create a world where customers wonder, how did I ever live without Coupang. With that, I will turn the call over to Gaurav.
Gaurav Anand: Thanks, Bom and thank you everyone for joining today. Before going into the quarter, let me begin with the framework we use to manage our financial profile. Our primary objective is to delight customers as we believe that building enduring customer relationships will maximize long-term value for all our stakeholders, our customers, vendors, sellers and shareholders. On the financial front, that means we intend to prioritize these investments to drive long-term cash flows for short-term profit optimization. With investments, we have continued to use the same disciplined approach to deploy capital that we have always used, similar to how we develop offerings like Fresh and Eats. When our teams see a sizable market and an opportunity to create a differentiated customer experience, we started small investments to test and then focus on iterating on the product and model we build confidence in customer behavior and unit economics. Only then do we scale investments. While we remain bold and ambitious in pursuing new opportunities, we start small and our teams have to earn their way into bigger investments. Turning to our first quarter results, we delivered strong 74% reported revenue growth and a 63% increase on a constant currency basis. That came against challenging comms to last year’s first quarter revenue benefit from the COVID long-term. For context, while the Korean e-commerce segment declined on a quarter-over-quarter basis, Coupang grew total revenue 11% quarter-over-quarter and 9% on a constant currency basis. Last year, February was the first full month we saw revenue spike due to COVID. And against that comparison, our constant currency revenue growth in Feb and March remained in the high 50% range. There remains uncertainty around how consumers will respond to developments in the pandemic. However, we are very excited as the fundamentals of our business are as strong as there have been. Quarterly active customers grew 21% year-over-year in Q1 to $16 million as our customer retention rate remains very high and our superior experience continues to attract new customers. Revenue per active customer grew 44%. The higher mix of new customers who initially spend less impacted the growth rate, but we are happy to make that trade as our customer cohorts have proven to have strong retention and increase spend over time. In terms of our revenue mix, despite the difficult year-over-year comparison, net other revenue growth accelerated relative to prior quarters, increasing 126% year-over-year. The higher growth is related to revenue from Coupang Eats and Advertising, two newer offerings that have continued to scale over the past year. Gross profit increased 70% to $733 million in Q1. Our gross margin was about 40 basis points lower than last year due to the revenue mix across our offerings and additional investments, but we are encouraged that the underlying operating leverage in the business is improving. With our new offerings like Fresh and Eats, we continue to prioritize investments to drive growth and build scale. Also, Bom noted how our teams continue to navigate operational challenges related to COVID safety protocols and shutdowns, which have come with an opportunity cost of building efficiency efforts in the near-term. As we move past COVID further scaled new offerings and optimized operations and supply chain, we expect to see increasing efficiencies and meaningful gross margin expansion longer term. Excluding equity compensation and depreciation, operating, general and administrative cost increased to 20.9% of revenue in Q1. The increase is mainly from investments in technology to support continued product enhancements and more corporate personnel. The first quarter also includes non-recurring costs related to our IPO. As a result of the higher expense growth, our adjusted EBITDA loss was $133 million in the first quarter. For cash flow, we focused on trailing 12-month numbers, which we believe are better indicators of ongoing business performance. Trailing 12-month operating cash flow was negative $197 million in the first quarter due to the timing of inventory, investments and payable cycles in Q1 related to the first quarter of last year. Last quarter, we made inventory investments following a strong growth late last year to offer customers broader selection. Meanwhile, Q1 2020 cash flow benefited from initial surge in sales from the COVID lockdown and inventory replenishment lagged a bit. But our cash conversion cycle is unchanged. And we expect these factors to normalize as the year progresses. Overall, we are pleased to have carried our operating momentum into 2021. And we are confident that the investments we are making and our focus on operational excellence to deliver an exceptional customer experience will continue to payoff. I will now turn the call back to the operator to begin the Q&A.
Operator: Thank you. [Operator Instructions] We have your first question from Stanley Yang with JPMorgan. Your line is open.
Stanley Yang: Thank you for your first quarter results. I have two questions. First question is there a competitive landscape, the e-mart and market can lead to a pure grocery player announced to keep the low price strategy. I think I am conscious of in the Coupang growth momentum. So, what’s the countermeasure of your company and should we expect any disruptive marketing competition brings to second quarter and on? And my next question is I was just wondering about this 1P versus 3P GMB mix change during the first quarter? Do you – can you please color any GMB trends and any product category trends in terms of GMB? Thank you.
Bom Kim: Hi, thanks for the question. I will take the first part of that and I think maybe Gaurav you can tackle the second question. So, I think as we stressed in our opening, I think the most important competitive advantage that Coupang has is really our orientation. We have made – we have always worked backwards from the customer. It’s never been appealing to us to be reactive to competitive changes. And we always we believe that enduring long-term trust with customers really comes from consistently delivering, the best experience at the low price everyday to all customers. And I think that’s an important context we have built – we have invested billions of dollars into our end-to-end network. In Fresh, for example, we believe we are the only nationwide dawn delivery and same day delivery. We believe we have the best selection. And we believe we have the lowest price, because we have structural advantages and efficiencies that we have shared in part with back with our customers. So for example, Stanley, we have the lowest shipping, free shipping threshold in Fresh that we know of anywhere in the world at least that we know of, which is about $13 minimum or KRW15,000. That’s the kind of everyday low price, fast delivery experience that we are delivering consistently at scale. And it’s not an easy thing to do. We have built hard things, invested a lot of capital to build that unique end-to-end network. That’s why you are seeing the growth that you saw in the first quarter. In Q1, Fresh was 2.5x the size it was in Q1 of 2020 and that’s not on a small scale. So, even at large scale, you are starting to still see very high growth and that’s not because we reacted to any competitive, we are not – that’s not because of a countermeasure or of a short-term promotion, that’s because we built the infrastructure and the technology nationwide to provide the best selection, the best service at the lowest price consistently, everyday to everyone. And we will continue to invest in that. It’s one of – Fresh is one of our new initiatives that we are really excited about, we are focused on and we will invest in, in the upcoming year.
Gaurav Anand: Stanley, on your second question of 1P versus 3P mix change, we continue to see strong growth in both 1P and 3P and there is no material change and mix at this time. So, we are focused on both the services and continue to drive initiatives in each of them. However, over time, we would become agnostic between our old inventory and third-party selection. We will continue to optimize for total growth profit dollars. And in the long-term, assuming no difference in customer experience, we will prioritize whatever is more profitable for a given item.
Michael Senno: Thanks. Operator, we can take the next question.
Operator: Your next question comes from the line of Eric Cha with Goldman Sachs. Your line is open.
Eric Cha: Hi, thank you for the opportunity. Just had two questions if I may. First one is, we noticed that there seems to be pretty strong growth coming or pretty strong sustained growth coming from the active users. Just wanted to know, what’s the driver behind this? And the second question is there has been couple of, I think, news out on Coupang regarding its overseas expansion initiatives. Just wanted to hear from the management whether how focused Coupang is on this overseas expansion? And if they are, is it on the e-commerce part or is it for the other sort of initiatives? Just wanted to know little bit more details around that as well? Thank you,
Bom Kim: Thank you. Thanks for your question, Eric. On the first part – on the first question, we think the drivers of that active customer growth are the same drivers that you saw drive the high adoption and spend growth that we shared in the S-1. If you look at our core behavior, our customer adoption, it continues to accelerate, continues to accelerate. And we think it’s really a combination of and really validation of, in our view, of the long-term strategy investments we have made. We really believe, no matter what category you are looking at, customers want all three of those pillars: service, selection and price. And what we are really excited about is that the primary driver of our growth continues to be organic. Word of mouth is spreading. And you saw that number, that adoption continue to grow. The vast majority of online shoppers in Q1 in Korea did not purchase Rocket yet, right, did not purchase Rocket in Q1. So we are just so excited to see that penetration go up. And we are excited because even if these are new customers, we have a lot of evidence that once they experience that selection, service and price differentiation consistently and they build that trust, their spend and loyalty to our services, grows and accelerates over time. And we really believe that as we add on more offerings, like Fresh and Eats that it creates more opportunity and more reasons for customers to become loyal to our platform, to place their trust in us. So we are seeing all of those investments really compound, our customer adoption and loyalty. On the second question of overseas expansion, I think it’s important context I just want to make sure I think some of this will be obvious to many, if not everyone on the call, that we have a tremendous runway ahead. We just have – we are so early in our journey in our existing market. This is one of the largest and fastest growing markets in the world in Korea. The fact that our oldest cohorts are still increasing spend at a fast rate, the fact that our most mature categories are still gaining online share growing faster than their online segments, just speaks to I think and overall growth being 3x out of the e-commerce segment. Even on a quarter like this quarter that COVID month last year, just I think speaks to how early we are on this journey and how much runway we have. And the wonderful thing about having such a large and growing opportunity like the one we have in front of us is that it gives us ample opportunity to continue to build more and hone our capabilities and when we – which means that when we extend those capabilities to new markets, we will have a greater chance of success. And we, of course, will examine and explore opportunities in new markets as they come to us and we will pursue them. We will pursue opportunities if we find an attractive one, if we identify attractive one.
Michael Senno: Thanks, Eric. Operator, we will take our next question.
Operator: Your next question comes from the line of Peter Milliken with Deutsche Bank. Your line is open.
Peter Milliken: Yes, good morning. Thanks, guys. Firstly, do you have any specific plans for what to do with the $3.5 billion you have raised from the IPO, because it seems to me to give you an even better chance to further your lead in the market. And secondly, logistics is really a great competitive advantage you have. Can you explain any recent developments you have had maybe in the 3P performance side and whether you think merchants will accept more than one e-commerce platform doing 3P fulfillment or whether they would settle for one company doing that? Thank you.
Bom Kim: Hi, thanks for your question. I think those two questions are somewhat related for us. At least, the answer will be related. I think, when you look at – so I think you are well aware that we have invested billions of dollars over the last 7 plus years, building 25 million square feet of fulfillment and logistics infrastructure, not only that, but a unique tech stack, just countless systems and processes and algorithms that we have invested in and we continue to invest in to optimize and upgrade. And we are not resting on that lead. Our goal is not to rest on that lead. We have capital that we are going to use to extend that advantage. So in the coming year, we are going to build more, we are going to build more in our coming year than we have ever built in any year in our history. Just in infrastructure alone, set aside the technology investments, just in infrastructure, e-commerce infrastructure alone, we are going to build over 50% of what we build in our entire history in just the coming year. So, we are really going to continue to push and extend the structural advantages that we are going to build – that we built. And it’s not just advantages and customer experience, it’s efficiencies that come out of that scale, come out of the processes that we keep iterating on and refining and enhancing with our technology. And those savings, we are going to pass on in part to our customers and share with our partners. And I think when you think about whether it’s 1P/3P, I think that’s – I think the way to think of it is who is building the infrastructure – who can build infrastructure that creates structural advantages and efficiencies that can be shared back. And if you don’t have that scale, that technology, that infrastructure, it’s actually not efficiencies, but higher costs. And I think that’s the way we are continuing to build and then advantage in experience and cost, the best experience at lowest costs. We will also continue to invest in new offerings. As we mentioned, we are going to – we are excited about the progress we are making in Fresh and Eats and they will be the last investment. They won’t be the last new offerings. We are constantly testing more opportunities and we will increase our investments in as opportunities gain traction.
Michael Senno: That you, operator.
Peter Milliken: Thank you very much.
Operator: Your next question comes from the line of Soyun Shin with Credit Suisse. Your line is open.
Soyun Shin: Hi. Yes, thank you for the opportunity. I have the two questions. On the – number one on your 3P business on the how should we think about our average on the 3P take rate on the comparing with other marketplaces in Korea? And then also how fast, can this grow along with the expansion of the jet delivery on the services? My second question on your customer base, can you give us more color like in terms of like the age group for a certain area. So I would like to think where we can see the upside on the population in Korea? And then also I would like to know like the percentage of like the Rocket WOW on the membership, on the subscribers and also if you can provide any target ratio of the Rocket WOW on the subscriber? That would be great. Thank you.
Bom Kim: Thank you. That’s a lot of – let me try to tackle. Hope fully, I will try to cover as much ground as I can. So, just to give you a sense of the opportunity, you asked about the age groups and the demographics. This is how – we are seeing, we are still under-penetrated in almost every age category, you can think of every demographic. So in Q1, at least, according to the sources that we found, there were 37 million shoppers online in Korea, over 37 million in Q1. We had 16 million, which is of course a big jump from what we had year-over- year and that continues to grow. And you know from our cohort data that we shared that once they start adopting our services that you see the spend grow every year and accelerate. And so we are still very early and we are excited to see us growing in every age group and gender demographic you can think of, because we believe that the vast majority of online shoppers should be shopping on Coupang and shopping on Rocket at the end of the day. And so we still have a lot of runway and a lot of growth that we have – a lot of adoption that we have to still target. And you mentioned some services, we are always – because we are trying to create more chances and more contact points so that people can discover our services. If people come into our services through so many different channels, some will start on Rocket, some will start on Eats some will start on walking and go to Fresh. We are launching – we of course talk a lot about Fresh and Eats. But at any given point, right now, we have dozens of services of new experiments that we are testing, if not over 100 that we are testing. And we are experimenting, we are learning, we are iterating and we will continue to improve, enhance and invest more, so that we can create more opportunities for us to engage customers and get them started on that journey with us. Yes.
Soyun Shin: Thank you.
Bom Kim: Thank you. Thank you so much.
Operator: Your next question comes from the line of James Lee with Mizuho. Your line is open.
James Lee: Thanks for taking my questions. My question is for Gaurav, can you talk about maybe revenue growth expectation for second quarter and FY ‘21? Is the expected deceleration pretty consistent with your prior view? And it looks like you guys did a good job on EBITDA? Can you also talk about your expectations for the same period as well? For Bom, specifically, maybe some follow-up question on competition given the potential capital raising by one of your major competitor that being neighbor and also potential increased competition, can you talk about maybe the difficulty for someone to replicate your end-to-end network here? And if they decide to increase their competition, maybe replicate your network, how do you plan to respond to that to new competitive pressure here? Thanks.
Gaurav Anand: Thank you for the questions. So, as I mentioned earlier, in February and March, we saw the year-over-year comps after COVID hit Korea in 2020. And since that time, the comps we have seen is a growth in high 50s in constant currency and approximately in high 60s and in U.S. dollars. And there is a lot of uncertainty going forward, but that’s where we are, what we have seen so far.
Bom Kim: Yes. I think just to touch a little bit on the profitability side, I think you will continue to see in the near-term, there is going to be fluctuations in gross margin, because of revenue mix across our different services things that are growing at different rates and also with new investments that we make, but I think in the long run, we are – the momentum you see in our business, I think Gaurav just mentioned that our February and March or February and March, for example, even against fully comped COVID numbers was growing in the high 50s. We see strong momentum. Of course, there is uncertainty related to how the year progresses, how the COVID pandemic progresses, but there is strong momentum that we built because we made choices in the past. We invest – made investments in the past that maximized or sought to maximize long-term cash flow over short-term profit. And we are fortunate to be in a position to do that. We are still fortunate to be in that position to be stores of capital for very long-term investors, for our employees or customers who all turn to us we believe we are building a generational company. We are making investments that are targeting decades-long opportunities. We have a chance to build a groundbreaking customer experience to break trade-offs. And we are going to continue to make investments whenever we see attractive opportunities to maximize long-term cash flow over short-term profit optimization, we will always choose long-term cash flows and that’s our orientation. That’s what we will continue to do. And similarly, in that vein and I think what gives us additional confidence to do this is that the underlying operating leverage that we see in our business is improving, especially in our most mature investments. So, that gives us a lot of confidence that again if we make this the right decisions for the customer and for the long-term, they really do. I think we are headed in the right direction of providing the best experience at the lowest cost. I think your second question was around competition. And we – again, it doesn’t change our strategy. It’s not as though we are just starting to make investments, we have been making investments over the last decade, especially the last 7 years in this end-to-end integration, in a fulfillment logistics infrastructure that now blankets the market in technology that really is driving the scale and efficiency here. And we are going to invest, we have invested in what we think is unprecedented scale in e-commerce, technology and infrastructure and we believe we will be unmatched in our future investments as well. As I mentioned, just the next coming year alone, just on the fulfillment, logistics infrastructure side, not to mention the technology side, we are going to build, we plan to build over 50% of what we have built over the entire history of our company in the coming year. So, we are going to be as aggressive if not more as aggressive as we have been in our past.
Michael Senno: Thanks, James. Operator, we will take our next question.
Operator: We will now take our last question from the line of John Yu with Citi. Your line is open.
John Yu: Thank you. Thank you for the presentation and the opportunity to ask questions. My first question is about operating cash flow. In the first quarter, operating cash flow came down to negative territory from positive figure a year ago. At a first glance, it looks like it was related to the increase of inventory level as well as the net loss. So, I would like to understand what would be the reasons or if it was related to the increase in GMB mix of Grocery or Rocket Fresh? And the second question is about fulfillment service. Recently, Coupang has started to provide within the services to 3P sellers. So, I would like to understand how many sellers on-boarded so far or how the feedback was and how much monetization opportunity you are expecting? Thank you.
Gaurav Anand: Thank you, John, for the question. So, structurally on our operating cash flow, there are no changes to the fundamentals of our business. The operating cash flow is negative primarily because of timing of inventory, procurement and accounts payable days. We expect it to normalize in the foreseeable future. Our fundamentals still remain strong for both our inventory days and [indiscernible]. So, no changes on that.
Bom Kim: Okay, I think that’s – yes, that’s right. There is – on the fulfillment services question, I think a way to think of – the way we think about this is that we are building structural advantages and efficiencies whether it’s serving, whether it’s in our retail or whether it’s in – that we can share back with our customers and with our suppliers. I think that you mentioned fulfillment services with all the things that – with any one of our new initiatives. We always start at a small scale to test, to iterate, to learn. I don’t know if you know the background for Eats, for example. We started in just one part of Seoul, Gangnam region. And we were – for through much of last year, the middle of last year, it was still primarily focused on just parts in the Gangnam region of Seoul. And now it’s national, because we were able to build the capabilities and to get confidence that we could provide the best experience again at the lowest cost. And that’s the same way we think about our Rocket experience that whether it’s suppliers or different parties that we – partners that we work with, what we build for retail should help non-retail. We are building scale, structural advantages and efficiencies that we can share back with our customers with lower prices, free shipping, free returns, and for suppliers enhanced growth at lower cost. So, that’s the scale. There is really so many different ways for suppliers to engage with us and different services that we can create out of that. But the foundation of all of that is still the same. It’s still our e-commerce infrastructure and technology and our e-commerce scale or Rocket scale that allows us to build structural advantages and efficiencies that will allow us to create the best experience for the customers at the lowest cost, which means ultimately the lowest price. So, hopefully that gives you a sense. And we are going to have lots of different opportunities, different experiments on that foundation that will continue to invest timing.
Michael Senno: Thanks, John.
Operator: Mr. Senno, I turn the call back over to you.
Michael Senno: Thank you everyone for joining us today. We appreciate the interest. Operator, we can end the call. Thank you.
Bom Kim: Thank you.
Operator: This concludes today’s conference call. You may now disconnect.